Operator: Good morning, ladies and gentlemen. Thank you for joining the Vista Gold Corp. Third Quarter 2020 Financial Results and Corporate Update Conference Call. 
 On the call today is Fred Earnest, President and Chief Financial Officer (sic) [ Chief Executive Officer ]; and Doug Tobler, Chief Financial Officer. 
 During the course of this call, we will be making forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements of Vista to be materially different from results, performance or achievements expressed or implied by such statements. Please refer to our most recently filed Form 10-Q for a detailed discussion of risks and other important factors that could cause actual results to differ materially from those in our forward-looking statements. 
 I will now turn this conference over to Pamela Solly. You may begin. 
Pamela Solly: Thank you, Chantelle. Thank you, everyone, for joining the Vista Gold Corp. Third Quarter 2020 Financial Results and Corporate Update Conference Call. 
 As Chantelle said, we have Fred Earnest, our President and CEO, and we also have Doug Tobler, our Chief Financial Officer. At this time, I will just turn the call over to Fred Earnest. 
Frederick H. Earnest: Thank you, Pam. During the course of this call, we will be making some forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements of Vista to be materially different from the results, performance or achievements expressed or implied by such statements. Please refer to our recently filed Form 10-Q for a detailed discussion of the risks and other important factors that could cause actual results to differ materially from those in our forward-looking statements. 
 I'd like to thank all of you for joining the call today. We are extremely pleased with our third quarter financial results and continued execution of our corporate strategic objectives. We believe Vista Gold represents an exceptional opportunity for the investor looking for value, growth potential, low geopolitical risk exposure and strong leverage to the gold price. At this morning's gold price and foreign exchange rate, the Mt Todd project economics demonstrate an after-tax net present value at a 5% discount rate of $1.87 billion and an IRR, an internal rate of return, greater than 43%. 
 Before summarizing our third quarter highlights, I'd like to begin by addressing the impacts of the ongoing COVID-19 pandemic. The health and well-being of our employees and the communities in which we live and work continues to be a priority for our company. Our corporate activities continue with the executive team working remotely and on a limited in office spaces. Video conferencing has replaced corporate travel and in person conference participation. 
 In Northern Territory, Australia, where the Mt Todd project is located, COVID-19 cases are almost nil, and control measures have been significantly relaxed. Mt Todd continues to operate under an approved COVID-19 management and mitigation plan that is presently less restrictive. To date, our workforce in both the United States and Australia, and their families remain healthy. 
 During the quarter, we continued to advance and derisk the Mt Todd gold project. We effectively monetized noncore assets, managed costs and capital spending. And strengthened our balance sheet. We commenced a drilling program to test the continuity of north-trending structures and mineralization, part of which we believe to be the higher grade near-surface extension of the Batman deposit core zone. We also completed geotechnical fieldwork for process equipment foundation designs, initiated internal evaluations of higher gold prices to assess the potential to convert additional resource reserves and we continued dewatering the Batman pit. We continued to work with the Northern Territory division of mines in the review of our mine management plan. 
 In this past quarter, we signed a number of confidentiality agreements with potential development partners. I'll discuss these topics in greater detail later in the call. But I will now turn the time over to Doug Tobler for a review of our financial results for the quarter ended September 30, 2020. 
Douglas Tobler: Thank you, Fred. Our third quarter 10-Q was filed yesterday and is now available on our website for those that are interested in a more in-depth analysis of our financial results. Today, I'll provide just a brief overview of our financial position and our results of operations for the most recent quarter ended September 30, 2020. 
 Vista's financial position improved significantly during the third quarter. Most notably, our cash plus short-term investments totaled $10.2 million at September 30. This represents a $4.7 million increase during the third quarter and was largely attributable to our ability to monetize noncore assets and maintain a modest overall expenditure rate. During the third quarter, we realized net proceeds totaling $4.8 million from sales of our remaining Midas gold shares, and we received net cash of $650,000 as the final purchase price payment for the Los Reyes project in Mexico. We also received about $600,000 through limited use of our ATM program. 
 As to expenditures, our cash used for operating activities was $1.4 million for the third quarter. This is down slightly, but generally in line with our recent quarterly trend. And as a closing note on our financial position, Vista continues to have no debt. 
 I'll now spend a few minutes talking about our comparative income and loss for the quarter and year-to-date periods ended September 30, 2020, and 2019. For the quarter ended September 30, we recorded net income of $4.2 million compared to a net loss of $2.5 million for the same period last year. There were 2 key drivers that account for this quarter's net income and the variance when we compare it to 2019. First, we recognized $3.5 million gain on disposal of mineral properties during the quarter ended September 30 compared to nothing for the same quarter last year. This came in July of 2020, when we received the final purchase price payment from Los Reyes, as I mentioned previously. The balance of this gain resulted from recognizing $2.9 million of income or previously deferred option gain. And secondly, we recognized a $2.4 million gain on other investments during the quarter ended September 30, 2020. This gain resulted primarily from the sales of our remaining Midas gold shares. By comparison, we recognized a loss on other investments last year for the third quarter of $234,000. 
 Moving on to our year-to-date numbers through September 30. Our net income for the 9 months ended September 30, 2020, was $2.6 million. This compares to a loss of $8.2 million for the same period in 2019. And again, there were 2 key drivers. First, we reported $6.1 million gain on disposal of mineral property interest during the 9 months ended September 30, 2020. This compared to nil for the same period in 2019. The year-to-date gain for 2020 included $3.5 million for Los Reyes, as I discussed previously, plus $2.6 million for partial cancellation of royalty interest on the Awak Mas project in Indonesia. Gain and loss on other investments was the second driver. This year-to-date, we reported a gain of $2.4 million, which was mostly due to sales of and fair market adjustments to Midas gold shares. And for the 9 months ended September 30, 2019, we reported a loss on other investments of $2 million, which was predominantly from fair value adjustments to the Midas gold shares. 
 Now looking forward, Vista expects to hold its recurring expenditures in check and to continue monetizing its non-core assets as a means to generate working capital in a non-dilutive manner. To this end, we have agreements in place at this time to realize up to $4.6 million over the next 9 months from upcoming cash payments of $2.1 million of Los Reyes and an option payment of $2.5 million for cancellation of the remaining Awak Mas royalties. So either Prime Mining or PT Masmindo fails to make these payments, this will retain rights to the respective royalty interest and can pursue alternative monetization strategies. 
 Vista also owns other noncore assets, which include no equipment, another gold royalty interest and various listed equity securities. 
 In closing, we're pleased with our improved cash position and the prospects for monetizing other noncore assets in the coming months. This obviously supports our recurring requirements, but will also fund some of the value-added programs that Fred will discuss later during this call. 
 So with that, I'll turn the call back over to Fred, and I'd like to thank everybody for your time today. 
Frederick H. Earnest: Thank you, Doug. I will begin with our achievements bringing in subsequent to the quarter ended September 30, 2020, and then provide an outlook for the remainder of this year. 
 First of all, drilling to test the Batman North extensions. In June, we announced positive results of ongoing geologic evaluations at Mt Todd and subsequent, in the field validation of the existing data, has identified what we believe is the up plunge of northern extension of the high-grade Batman core zone. As a result, we've commenced a proof-of-concept drilling program to test targets known as the Batman north extension and Batman north hanging wall lodes. We're excited about the potential represented by these targets. And should the drill results confirm an extension of the structures and mineralization that formed the Batman deposit, a comprehensive resource definition drilling program is expected to ensue. Assay results from the first holes are expected in the coming weeks with full program results to follow. 
 Based on outcrop mapping, soil sample and chip sample results, our geologists believe that the extension of the Batman deposit core zone could host between 200,000 and 500,000 ounces of gold, with average grades higher than the average reserve grade for the deposit right now. This would be beneficial in the early years of production. Successful completion of this program could form the basis for future changes to the mine design with the combined benefits of better grade and lower stripping. Furthermore, this drilling marks our first efforts to confirm the continuity of gold mineralization within the structural corridor extending from the Batman deposit northeast, approximately 5.4 kilometers to the Quigleys deposit. 
 Next, let me talk about water management. I'm very pleased to report ongoing success with our water management program at Mt Todd. When initiated 5 or 6 years ago, the total water inventory at site was approximately 16.6 gigaliters of water. The Batman pit contained approximately 11.5 gigaliters of this total. We successfully treated this volume of acidic water and began discharging treated water in compliance with a Northern Territory EPA discharge license. We continued dewatering the Batman pit and lowered the water by almost 18 meters this year. We expect the Batman pit to be effectively dewatered by mid-2021, representing an important milestone to be completed prior to a potential start of construction. 
 At Mt Todd, we also completed geotechnical fieldwork for crusher and ball mill foundation designs. Lab results from this work are being finalized. This program is expected to decrease the time needed to complete a feasibility study when deemed appropriate to result in lower initial capital costs for those foundations, as we believe they're presently -- conservatively designed and provide information for future detailed engineering. 
 As everyone is aware, we have seen a tremendous increase in the gold price in the last 6 months. We have recently initiated internal evaluations related to these higher gold prices. The gold price is a key factor when using Lerchs-Grossman floating cones to evaluate economic ultimate pit shapes. The Batman open-pit design and reserve estimates in our 2019 preliminary feasibility study are based on $1,000 gold price, which in today's market is very conservative. With the sustained increase in gold prices, Vista is evaluating the economic impact of modestly changing the gold price to $1,100 or $1,200 for these pit designs. This has the potential to increase the recovered resources and extend the life of the project. 
 Next, let me provide an update on permitting. We continue to work with the Northern Territory division of mines on the approval of the Mt Todd mine management plan, which is the equivalent of a mine operating permit in North America. We believe we're in the final stages of the approval process and are hopeful that in the coming months, we will receive the final approval of the mine management plan. Once approved, Vista will hold all of the major permits for the development of the Mt Todd project. 
 I'll next address share price performance. Year-to-date, Vista shares are up approximately 45% compared to the GDXJ, which is up 33%. Vista continues to enjoy strong leverage to the price of gold, in part due to significant improvements in the Mt Todd project economics with relatively small improvements in the gold price. Since November 13, 2018, when gold broke out its horizontal trend through October 27, just a couple of days ago, the gold price has improved by approximately 59%. While Vista's share price has improved by approximately 139%, this is almost 2.5x the improvement in the price of gold on a percentage basis. This compares to the value of the GDXJ improving by approximately just under 2% -- or I'm sorry, 2x during -- 2x the improvement in the price of gold over the same period of time. 
 Looking ahead, Vista continues to advance and derisk Mt Todd and is well positioned in the current gold environment to consider prospective development partners, who we believe will recognize the value of Mt Todd and appropriately reward shareholders. We continue to believe that the debt and dilution needed to build Mt Todd on a stand-alone basis is not in the best interest of our shareholders. Our objective is to achieve a valuation for Mt Todd that is reflective of the size of the gold deposit. Together with its location in Australia's low-risk Northern Territory, favorable low operating costs, robust project economics and the fact that we hold approvals for all of the major environmental permits, we believe that these, coupled with the technical -- the technically advanced stage of the project and excellent infrastructure, place Mt Todd on a short list of the most attractive development-stage gold projects in the world. Our exhaustive technical studies provide a solid basis for engagement with prospective development partners and current market conditions demonstrate the robust economics of the project. Our goal is to provide appropriate reward for our shareholders. 
 In addition to seeking a strategic partner, we continue to de-risk Mt Todd in a cost-effective manner, working with the Northern Territory division of mines and the newly formed Northern Territory department of Industry Tourism and Trade to receive the authorization of the Mt Todd mine management plan and to monetize other noncore assets when opportunistic. Finally, with the continued improvement in gold price, we are evaluating the positive impact of higher gold prices on mine plants and project economics. 
 In conclusion, we find ourselves in a market with record gold prices and governments around the world on the cusp of approving additional stimulus packages. We believe this bodes well for sustained improvement in the gold price in the coming 12 to 24 months. The work we have completed over the last several years has positioned our Mt Todd gold project as the largest single deposit undeveloped gold project in Australia. With 5.85 million ounces of proven and probable reserves, Vista controls the third largest reserve package in Australia. Our 2019 prefeasibility study demonstrates a net present value at a 5% discount rate of $823 million with an internal rate of return of 23.4% at $1,350 gold price and a $0.70 foreign exchange rate. At this morning's gold price of $1,870 an ounce and foreign exchange rate of slightly over $0.70, the project economics demonstrate an after-tax net present value at the same 5% discount rate of $1.87 billion and an internal rate of return of greater than 43%. We consider this to be significant leverage to the gold price at the project level. 
 Mt Todd is ideally located in the Tier 1 mining jurisdiction of Northern Territory, Australia, with paved roads to the site and existing infrastructure, including power lines, a natural gas pipeline, freshwater storage reservoir and tailings upon the facility. The project improvements we have achieved, along with the estimated mineral reserves and production profile, have created the foundation for the leverage to gold price and improved shareholder value. We have earned the trust of the local stakeholders and believe that our social license is firmly in hand. We've worked hard to secure the authorization of the major environmental permits and are now focused on gaining the authorization of the mine management plan. We believe Mt Todd is a superior asset located in a politically stable and mining-friendly jurisdiction and one of the most attractive development-stage gold projects, not just in Australia, but in the world. I reiterate our commitment to finding a partner to advance the project, and at the same time, realize value for our shareholders. For a more comprehensive assessment of the value accorded to Vista and the Mt Todd project, I refer you to our corporate presentation, which can be found on our website at www.vistagold.com. We believe that Vista Gold represents an exceptional investment opportunity for investors looking for value, growth potential, low geopolitical risk exposure and strong leverage to the gold price. 
 That concludes our prepared remarks. We will now respond to any questions from participants on the call. 
Operator: [Operator Instructions] Our first question will come from Heiko Ihle, H.C. Wainwright. 
Heiko Ihle: I'm only bringing this up because you talked about it in the release quite extensively, you just talked about it on the call. I mean, with the continued dewatering of Batman, I mean you're only at 2.1 gigaliters, which is a fraction, I mean, a small fraction what you started with. I remember being there a couple of years ago when this thing was substantially more full. You just lost another 18 meters. Do you want to maybe just give a little bit of feedback to the audience in regards to the significance of your progress in dewatering that pit? I mean it sounds like it's all done environmentally safe and you're discharging the water. But do you want to just maybe walk us through some thoughts on that? 
Frederick H. Earnest: Yes. Absolutely. When we acquired the Mt Todd project, one of the challenges we inherited was the management of acid rock drainage, which under the management of the Northern Territory government was prior to our involvement in the site was being discharged directly into the Edith River. As we then came in the project, we changed that operating practice. We began to stockpile that water. And at one point, the pit was entirely full, with just over 11.5 gigaliters of pH 3.3 water with dissolved -- and dissolved metals. We subsequently were able to demonstrate to the government protocols and procedures for treating that water, and we subsequently successfully executed on that treatment plan. The treatment plan was cost-effective and efficient, and the results have been such that the Northern Territory EPA has subsequently recommended the same protocols and procedures to other mining companies in the northern territory, who similarly face acid rock drainage management problems. 
 We have subsequently received authorization through the form of a discharge permit from the Northern Territory EPA to discharge the clean water, the treated water, that is now in the pit. And over the last several years, we've been discharging that water. As I indicated in our remarks, we are now down to the point where we have 2.1 gigaliters or 2.1 million cubic meters, for those who aren't familiar with what a gigaliter is, of water, clean water, left in the pit. And if we have a normal wet season this year, we anticipate that we'll be able to discharge approximately 1.6 gigaliters to the Edith River. And the remaining water, we will pump to the tailings storage facility at the end of the wet season. This will mark a significant milestone in the project in that, the pit, rather than being nearly full of water as it was several years ago, will be completely dewatered and ready for subsequent mining at whatever date that decision is made going forward. 
 So this is a project that we have been working on for quite some time. And it marks a very significant accomplishment for the company, but it also marks a very significant accomplishment environmentally. This accomplishment is probably one of the keystones of our solid relationship with the stakeholders in the Northern Territory. That we came in. We addressed the problem that was a great concern to them. We told them what we were going to do. We executed on our plan, and the successful results have earned us a considerable amount of trust and respect. 
Heiko Ihle: A very good answer. I appreciate the color there. Moving on a little bit about exploration. I mean if you confirm some of these targets, what does -- exactly does that mean to your mine plan and your schedule? I mean, this is especially a pertinent question, given the current gold price environment, where I mean we're at levels not seen in years. Maybe just provide a little bit of additional feedback on that? 
Frederick H. Earnest: Yes, absolutely. As I indicated, the geologists have a target size for the extension of the Batman core zone of between 200,000 and 500,000 ounces. This is located 100 meters or so north of the limits of the presently designed Batman pit. It is at the surface. We have mapped the outcropping expression of what we believe is this extension in drainage. And now have a drill rig drilling the first of 5 holes that will be drilled into this target to demonstrate the concept or to confirm that this is what we believe it is. If the drilling results come back as expected, and then we're able to successfully convert this to resources in the range of the target size defined by the geologists, this will have a very significant impact on the mine schedule, especially in the first years. And what it will effectively do is that it will by us the time that we need to -- potentially up to a full year of additional time to complete stripping that presently causes a challenge for us in our mine schedule. 
 Right now, we face a stripping spike starting in year 6, continuing into year 7 and early part of year 8 that results in our feeding the mill stockpiled lower grade material. With this additional ore that's at the front of the line, that could be mined at the -- early in the life of the project with very little stripping, we would then be able to get further ahead on the stripping that we face a little bit later in the project. The impact of this would be that we would have improved economics in the early life of the mine. And we'd also have improved economics in the mid-life of the mine, resulting in significant improvement in overall project economics. And as a result, we're very excited about this. To complement this, the drilling of the Batman hanging wall lodes will, as the pit grows as a result of the expansion that we've just talked about in the North core zone extension, there's some mineralization that we've identified in previous drilling programs inside the pit. Present pit boundaries and the hanging wall. We have drilled the first hole and are waiting for assays, and part of this drilling program is expected to confirm the continuation of these mineralized loads in the hanging wall, which could further change the change the mine plan and ultimately result in a slight decrease in the stripping ratio for the project and the life of mine. 
 So those are the reasons we're very excited about this program, Heiko, and we look forward to being able to announce results in the coming weeks. 
Heiko Ihle: Very fair. And then just to clarify, I mean, you guys have your people in Australia. I understand Australia is close to everybody, not already there pretty much. I mean, whatever 20 people on the plane and just all sorts of crazy stories you read. But I mean you have your people on the ground there, so there is no real impact on your operations, correct? 
Frederick H. Earnest: That's correct. As I indicated, the number of COVID-19 cases in the Northern Territory is almost middle. And as a result, the Territory government has started relaxing the COVID-19 controls and restrictions. Our people are able to move about more freely. We continue to operate the project under the COVID-19 management mitigation plan, which has been approved by the health officials. They're starting to open up boundaries within Australia and allow more travel within the country. The Northern Territory is one of those that has opened its boundaries to most areas except for those coming from New South Wales and Victoria. Western Australia has still -- maintained its borders closed unless you quarantine for 14 days. I was recently on a call with one of the government officials that's tasked with the COVID-19 economic recovery and I had the opportunity to ask the question about when he thought that travel restrictions might be lifted for business people seeking to go to Australia, he said they're working on it, that it will happen in a staged manner. That they're opening -- that they will be opening first to other Asia Pacific countries and move outward from there. So we do not yet have a specific date as to when we will begin to be able to travel. But within the northern territory, our activities are pretty much unrestricted and not impacted by current status of the pandemic. 
Operator: [Operator Instructions] Our next question will come from Matt Farwell, ROTH Capital. 
Matthew Farwell: I was wondering if there are successful drill results, what are you seeing -- what can you expect to do in 2021 with a more comprehensive program? And then our -- how can we think about you considering updates to the pre-feasibility study? 
Frederick H. Earnest: Yes. So based on the premise that the 7 holes that we're drilling right now and hope to have all assays available for reporting before the end of the year comes back as expected, there will be the traditional break in Australia from roughly the 15th of December to the 9th or 10th of January. And after that, we would expect to begin -- recommence drilling at the site. Our expectation would be that we could complete a resource definition drilling inside of the first 6 months of the year. And that -- at that stage, we would then consider a couple of different factors. One would be simply a resource update to update the resource for the project. Most likely that would be accompanied by some sort of update of mine plans. The decision would then have to be made, do we complete that as a preliminary feasibility study update? Or do we take that to the next step and announce those results as part of a feasibility study for the project? That work to complete those engineering studies following the completion of drilling would likely be sometime in the late third quarter at the very earliest, more likely sometime in the fourth quarter of next year based on drilling if drilling were to take 6 months to completely drill out and be able to find an increased resource. 
Matthew Farwell: Okay. Great. That's helpful. And just on the background on the water treatment, what treatment methods are being employed in the pit dewatering? 
Frederick H. Earnest: So the treatment was, we first used finely ground limestone as the first stage of treatment, and we dosed that into the pit and dispersed it through the pit. Limestone was much cheaper to acquire than lime. And after extensive test work, we -- limestone generally isn't used because it's used in a lump form. And so the key became to balance the amount of surface area that was exposed for reaction and to -- and by -- and to reduce the particle size so that we retain that material in suspension for a longer period of time allowing the reaction to take place. We were successful in getting the pH from 3.3 up to about 6 using finely ground limestone. We subsequently switched to a buffering with lime. And so the quantity of lime that was required was considerably less. And as a result, the cost was less. And then we buffered the solution up to approximately a pH of between roughly 9, a pH of 9. And that resulted in the formation of metal hydroxide complexes that allowed the last of the metals that were contained in the acid rock drainage to be complex and to precipitate out to the bottom. 
 And when this -- after a period of settling, the pH settled down around 7.2 with approximately 99.9% of the metals removed from the water. And that's the clean water that we're discharging at the present time. 
Matthew Farwell: Got it. That's helpful. And so you've done a good job of boosting the balance sheet this quarter. Can you -- what are your expectations on receiving the final $4.6 million of payments in 2021? Do you expect to receive those in the first quarter as they're scheduled? 
Frederick H. Earnest: I'm going to let Doug Tobler, our CFO, respond to that question. 
Douglas Tobler: Sure. Yes. So there's really 2 components to this. There's the payments for the Mexico project, which is from a company called Prime Mining. And those payments are fixed and scheduled for January and July, roughly equal between the $2.1 million. So those guys are advancing well. We have every expectation that those commitments will be net. And if for some reason they don't, then they'll turn around and have to grant us, our royalty interest in the project in Mexico, which, again, is something we can market later. But we're -- right now, where we sit, we're pretty confident in those. 
 The other one is for the project in Indonesia, Awak Mas. And the company there is called PT Masmindo, which is part of a group called Nusantara, which you might see floating around in our financial statements. That is an option payment at their option. But again, those guys are making great projects -- progress. Just in the last few months, they brought in an Indonesian partner, and they're progressing through some of their front-end engineering design as we speak. So we're pretty comfortable that all of that's going to come in. But again, we still get the royalties if they, for some reason, don't make the payments. But we're in pretty good shape, we think. 
Operator: [Operator Instructions] 
Frederick H. Earnest: Chantelle, it appears that there are no other questions. 
Operator: That is correct, sir. 
Frederick H. Earnest: So with that, we'll wrap up the call. We'd like to thank everyone who has taken time to participate in the call this morning. 
 I would just reiterate that we are extremely pleased with our third quarter financial results and continued execution of our corporate strategic objectives. As I stated, we believe that Vista Gold represents an exceptional investment opportunity for the investor looking for value, growth potential, low geopolitical risk exposure and strong leverage to the gold price. I would remind everybody that today's -- at this morning's gold price and foreign exchange rate, that the Mt Todd project economics demonstrate an after-tax net present value at a 5% discount rate of $1.87 billion with an internal rate of return of greater than 43%. This is -- we believe, these are exceptional project economics. We believe that the gold price is sustainable. We demonstrate significant leverage to the price of gold. We invite shareholders and interested parties, interested investors to reach out, to learn more about what we're doing and what the opportunity is for share price improvement, and to learn more about our strategy and our plan for locking in and creating shareholder value. That is our key focus and we hope to be able to accomplish that through a transaction to bring in a development partner that will allow us to develop the Mt Todd project with little, if any, additional dilution to our shareholders. We think this is a very exciting story. 
 We thank those of you who have joined the call this morning and for those who will take the time to listen to this call as its rebroadcast. Again, if you have any questions or would like to learn more, we invite you to reach out to us. We'd be happy to spend time with you and to help you understand the tremendous amount of work that's been done and why we're so excited about the Mt Todd project and the prospects for improving shareholder value as we move forward. 
 So with that, we'll thank everyone for being on the call, and we wish you all a very pleasant day. Thank you. 
Operator: Thank you very much. Ladies and gentlemen, this now concludes today's conference. You may disconnect your phone lines, and have a great rest of the week. Thank you.